Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2020, Roku Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] As a reminder this conference call is being recorded. At this time, I would like turn the conference over to Ms. Tricia Mifsud. Ma'am, you may begin.
Tricia Mifsud: Thank you. Good afternoon and welcome to Roku’s financial results conference call for the first quarter ended June 30, 2020. I’m joined on the call today with Anthony Wood, Roku’s Founder and CEO; Steve Louden, our CFO; and Scott Rosenberg, SVP and GM of our Platform Business, who will be available for Q&A. Full details of our results and additional management commentary are available in our shareholder letter, which can be found on the Investor Relations section of our website at ir.roku.com. The following discussion including responses to your questions reflects management’s views as of today, August 5, 2020 only, and we do not undertake any obligation to update or revise this information. Some of the statements made on today’s call are forward-looking and are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include but are not limited to, statements regarding the future performance of Roku, including expected financial results for the third quarter and full year 2020. The impact of the COVID-19 pandemic on our industry, business and financial results and the future growth in our business and our industry. Our actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to today’s shareholder letter and the company’s periodic filings with the SEC for information about factors, which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP measures to the most comparable measures discussed today in our shareholder letter, which is posted on our Investor Relations website. I encourage you to periodically visit our IR website for important content. Finally, unless otherwise stated, all comparisons on this call will be against our results for the comparable period of 2019. Now I’d like to hand the call over to Anthony.
Anthony Wood: Thank you for joining today's call. Streaming is the most powerful force shaping television today. It is unleashing innovation and bringing greater choice, value and control to consumers. We are also seeing that the ongoing COVID-19 pandemic is accelerating the macro trends that will define the screaming decade. For example, consumers are streaming more and they are turning to services that offer good value. Also, more and more content owners are adopting a growth marketing mindset and partnering with platforms like Roku, to acquire, engage and retain valuable audiences. And brands are re-evaluating where their ads need to appear in order to reach consumers, while looking for ways to increase the effectiveness of their campaigns. Against this backdrop, Roku delivered strong results and exceptional account growth in the second quarter. We are increasing platform scale and extending our competitive advantages, while helping content owners, advertisers, retailers and TV OEMs capitalized on the shift to streaming. The strong relative performance of our ad business also stood out during the quarter. It grew as the overall TV ad market declined. Of course, the outlook for the ad industry remains highly uncertain for the balance of this year, and we believe it will be well into 2021 before TV ad investment recovers to pre-pandemic levels. Despite these headwinds, we believe we are very well-positioned to increase share in the very large TV ad marketplace over time. I'll wrap up my comments by saying that I'm delighted that Steve Louden will be staying on with Roku as CFO, and we have ended the search to find a successor. I'm looking forward to continuing to work with Steve, and our talented leadership team as we guide Roku through the pandemic and into the streaming decade. With that, I'll hand it over to Steve.
Steve Louden: Thanks, Anthony. First off, I'd like to express how pleased I am to be continuing on as the CFO of Roku. We have a great team, strong execution and a significant opportunity ahead, as TV viewing continues to shift to streaming. Before we take your questions, I’ll walk through operational and financial highlights and discuss our viewpoint looking forward. We added 3.2 million incremental active accounts in Q2, a record for a non-Q4 holiday quarter, and ended the quarter with 43 million active accounts, up 41% year-over-year. Sales of player units continue to be robust up 28% year-over-year, while average selling price decreased only 2% year-over-year, given less promotional activity due to strong demand and tight inventory levels for certain products. Strong, active account growth has continued into early Q3. Year-over-year engagement on the platform also accelerated in Q2, with Roku users streaming 14.6 billion hours in the quarter, up 65% year-over-year versus 47% year-over-year growth in Q1. Streaming hours per active account peaked in early Q2 and has since moderated but remains above pre-COVID levels. Please note, we have made revisions to historical streaming hours, and I would encourage you to review the details in our shareholder letter. There is no financial statement impact of these changes, and no revisions are required to other key operating metrics. Now, I'd like to highlight a few financial items. Total Q2 revenue increased 42% year-over-year to $356.1 million, reflecting robust growth in both platform and player segments, despite external headwinds, including the overall advertising environment. Platform segment revenue was up 46% year-over-year to $244.8 million, driven by strength in SVOD subscription, and TVOD transaction trends, as well as continued growth in our ad business, with Roku monetized video ad impressions, growing roughly 50% year-over-year. Player revenue grew 35% year-over-year, the highest growth rate in over five years. Gross profit grew 29% year-over-year in Q2 to $146.8 million, resulting in the gross margin of 41.2%. Platform gross margin of 56.6% with similar to the Q1 gross margin. Player gross margin of 7.5% was higher than the same period last year, due to fewer promotions as well as lower return rates. Player gross margins were higher despite continued elevated usage of air freight. We anticipate higher air freight costs to continue in the short-term, as a tight supply environment persists. Q2 adjusted EBITDA of negative $3.4 million benefited from a sequential decline in OpEx from $196 million in Q1 to $189 million in Q2, primarily due to lower T&E and facilities operating costs. While hiring rate slowed significantly given the initial reaction of potential candidates to shelter-at-home orders, we've seen a recent increase in the hiring rate. As a reminder year-over-year OpEx growth rates reflect the impact of acquiring dataxu's operations and personnel in mid Q4, 2019, including approximately $3.3 million in Q2 for intangible amortization, roughly two-thirds of which is included in platform COGS, and one-third in sales and marketing OpEx. Sales and marketing expenses are up 75% year-over-year, due to growth in headcount, including the inclusion of roughly two-thirds of acquired dataxu personnel, as well as increased marketing retail and merchandising costs. G&A expenses are up 56% year-over-year, driven by headcount growth, as well as increased legal costs, primarily related to IP litigation and international expansion. Roku significantly increased its cash and liquidity position in Q2, raising an incremental $350 million in equity capital, via an at-the-market offering. We ended Q2 with $887 million of cash, cash equivalents, restricted cash and short-term investments and have $70 million of available liquidity under our credit facility. We're pleased with the recent performance of the business against the backdrop of the global pandemic, and the significant economic fallout that it has caused. In the short-term, however, the macroeconomic environment remains both variable and uncertain, and we are not issuing a formal financial outlook at this time. We expect strong consumer interest and the shift to TV streaming to continue, but we are mindful of the potential for both retail and supply chain disruptions, as well as changes to consumer buying behavior during important shopping periods in the second-half of the year, including back to school, and most importantly the holiday season. The ad industry outlook remains uncertain in the second-half, and we believe that total TV ad spend will not recover to pre-COVID-19 levels, until well into 2021. We remain committed to our strategic investment areas and driving future growth. We will continue to prudently manage expenses based on the performance of the business, but do anticipate that OpEx will grow on a sequential basis, as we continue to hire, and given that headcount and facility costs, which make up roughly two-thirds of our OpEx are largely fixed in the short-term. This approach will likely mean that we run at an adjusted EBITDA loss for the year. Despite this uncertainty, we remain confident in our ability to grow our ad business in the second-half, and believe that our overall revenue will grow substantially on a year-over-year basis, in the second-half and for the full year 2020. In summary, we are very pleased with the performance and relative strength of the business in the second quarter, despite the macro challenges and uncertainty. Roku's competitive advantages make us extremely well-positioned to capitalize on the shift of streaming and the large economic opportunity, created by the replatforming of television. With that, let's turn the call over for questions. Operator?
Operator: [Operator Instructions] Our first question or comment comes from the line of the Vasily Karasyov from Cannonball Research. Your line is open.
Vasily Karasyov: I have a question, Scott, I think for you. Now that you launched OneView, can you maybe speak a little more detail about what kind of offerings you have for advertisers right now? Because it's a much more complex, I think, situation than it used to be. And specifically, as I understand advertisers can buy OTT advertising through one view but that's not necessarily a Roku inventory. And can you please confirm if it's true? And if it is, doesn't it seem to be like a channel conflict there? How do you go about that? So would appreciate your thoughts on this?
Scott Rosenberg: Hey, Vasily. Thanks for the question. Great question, actually. So, you may recall that in early Q2, we relaunched and rebranded OneView. And the main effect of that was to negatively integrate Roku identity and data into OneView, so that users of OneView could have many of the same benefits, the targeting the measurement, the performance optimization, when they buy through OneView that they've had when they bought media from Roku. Important to that and to your question is that it really expands the book of business that we can do with an advertiser. Now they don't just think of buying media from Roku specifically, but using our tools, our data, our identity, the power they're buying from publishers directly. So it actually, rather than produce a channel conflict actually enables us to work more broadly with advertisers across their broader spend in OTT, in desktop and mobile. It's also expanding the set of clients that we can work with. OneView, one of its strengths is data and optimization. The ability to help a marketer optimize their campaign to bottom funnel results, like site visits or product purchases. And so that's actually bringing in a class to performance advertisers, who may not have traditionally invested in TV. Maybe they invested heavily in social platforms where performance is a key capability. So OneView there is actually bringing in new clients, whereas in the case of TV advertisers, it's actually expanding the set of business that we can do with them. Altogether, it's been great progress in integrating the OneView tech and team. We're very proud of the progress and OneView is featuring very prominently in our advertiser upfront discussions this year.
Vasily Karasyov: A quick follow-up, would it be fair to assume that the revenue contribution from OneView grew compared to Q1?
Scott Rosenberg: Well, we don't break that out specifically. But we monetized impressions on the platform, which now include OneView has grown more than 50%. You'll see that continue. OneView, again is an opportunity for us to participate in the transactions that are occurring in the Roku ecosystem, even when it's between an advertiser and a publisher on Roku.
Vasily Karasyov: Great. Thank you very much.
Scott Rosenberg: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Mark Mahaney from RBC. Your line is open.
Mark Mahaney: Okay. Echo on a couple of questions, please. Could you comment at all on whether you think you've seen any pull forward of demand? I think your comments, Steve about active account growth continuing strong in Q3 suggests that there wasn't a pull forward. I'm just trying to compare those comments with what Netflix said. And then can you comment at all about the linearity of revenue growth during the quarter that mid-40s platform revenue growth was kind of constant throughout the quarter, and continuing into July did it ramp up as you know advertisers came out of their freeze at the end of March? Or did it decelerate? Anything about the linearity of the quarter would be very helpful in terms of helping us think through what substantial means in the back-half of the year. Thank you.
Anthony Wood: Hey, Mark. This is Anthony. I'll take the first part and then Steve Louden will take the second part of your question. In terms of pull forward versus just an acceleration of active account, it's difficult to say. But the indicators that we look at seem to indicate that everything is -- it's not just a pull forward during the year that the shift to streaming and the growth in active accounts has just accelerated. So, it's a little bit -- our graphs a little bit different than Netflix's graphs in that regard.
Steve Louden: Hey, Mark it's Steve. Yes, as you mentioned, we said on the active account side that we thought continued strong growth in active accounts and player sales and TV into early Q3, which is encouraging. In terms of engagement, we noted that the streaming hours overall have accelerated significantly from pre-COVID levels. On a streaming hours per active account per day basis, they spiked dramatically during the initial lockdown phase and have since moderate -- the year-over-year growth of that metric has been moderated a bit, but it is still above pre-COVID levels. So, we do see very strong active account growth. In fact, that 3.2 million active accounts that we added in the quarter was the largest sequential quarter growth that we've had outside of the holiday period. Now, in terms of revenue, we haven't provided a lot of detail within that, other than to note that the Roku monetize video ad impressions had grown 50%. So, on a year-over-year basis, which is showing our relative strength to continue to grow Roku. The Roku advertising side of the house plus extremely strong content distribution, after COVID in the landscape, where the overall U.S. advertising spend is down significantly.
Anthony Wood: Yes, this is Anthony. I'd just add that we added 3.2 million accounts in the quarter, which we mentioned in the letter, which was exceptional. But the other interesting fact was that existing accounts purchased another 3 million Roku devices, which I think shows the strength of the affinity for our customers to their Roku system.
Mark Mahaney: Okay, that's very helpful. But Steve, nothing on whether that exit rate of the quarter was higher or lower than that 46%. I know, it's a very impressive growth rate. I don't think there's anything growing faster than that, actually. But just curious if you can comment at all on the linearity whether the growth is consistent throughout the period or not?
Steve Louden: Yes, we haven't broken that down, Mark.
Mark Mahaney: Okay. All right. God it, Steve. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Laura Martin from Needham. Your line is open.
Laura Martin: Hey there, I'm glad I get to ask this question. So, Anthony, you are an aggregation platform, that is how you create value, and yet Peacock and HBO Go or HBO Max, I guess they're not on your platform. So, could you walk us through as an excellent execution entrepreneur, how you think about the money issues on the table compared to your role as an aggregation platform for ad driven and SVOD services? And then Scott one for you. Kroger, very interesting. I'm very interested from you, Scott about how you think about the Kroger opportunity to roll out? And how big that could be for Roku over time that product? Thank you, guys.
Anthony Wood: Hey, Laura. Let me start, and then I'll turn it over to Scott to add some details. So, in general, I think when it comes to content, we want to add all the content that we can that's available to us to our platform. What we've said often that we're not always the first, when it comes to adding new services to our platform, because it's important to us that we establish, a win, win, win relationship, that economic model with our content distribution partners, as well as with our advertisers is what funds are a business. And it's what allows us to invest in innovation and bring low cost excellent devices to consumers. So, it's important that we get that right. But in the particular cases that you asked about, Scott is a lot closer to that than I am. So, I'll let him comment on it more specifically.
Scott Rosenberg: Yes. Hey, Laura. Let me just comment on the content side of the business and then I'll come to Kroger. I mean, one thing I'll just say is that partners that embrace Roku are winning. I mean, we've had an exceptional quarter of growth in terms of engagement, every segment subscription, transactional, AVOD has grown significantly. And partners who've been invested and working with us have benefited from that growth, benefited from our scale and our marketing tool. So, as Anthony said, it is our goal to carry these services. We look for that win, win, win relationship, something that's great, and new content for consumers, helping new content providers get scale and OTT and economics for Roku. We're not always going to get the deal done first, but that's our recipe. We think it's achievable and we're excited to be a platform for these new services. As to your question on Kroger, I agree it's a really exciting deal. It's an example of a kind of partnership, you'll see more of where we've basically partnered with Kroger, who's a leading aggregator of shopper data to onboard that data and enable it for both measurement targeting and ultimately optimization of ads, according to what CPG what the consumer packaged goods products are leaving the shelves. We've got Campbell's in already, participating. So for CPG advertisers, it's a big win. It's the opportunity to ultimately optimize the media that they buy from Roku, the media that they run through OneView to the thing they care about, which is product sales. So, it's an exciting example of a partnership and what's possible with some of our ad tech capabilities with OneView. Thank you.
Anthony Wood: Hey, Laura, this is Anthony again. Let me just add one more comment. I think another good example on the content partner relationships with Disney, I mean, Disney just announced that they have reached 100 million direct to consumer customers on platforms like Roku. And in fact, when they streamed Hamilton, we were the largest streaming platform of any of the streaming platforms, including phones. So, we're an important partner to those companies and we're proud that we can help them. We've built a lot of tools to help them, acquire customers, stream to customers. And I think this is a good example of what a win-win partnership looks like for us. We want to do more of those kinds of deal.
Laura Martin: Thank you very much.
Operator: Thank you. Our next question or comment comes from the line of Ralph Schackart from William Blair. Your line is open.
Ralph Schackart: Good afternoon. Just want to kind of circle back in some of the ad spend and certainly comments that you highlighted today. Just curious how that uncertainty might compare to last quarter? And if there's any improving visibility, even if it's on the margin and to that spend with some of your advertising partners. And then maybe just to kind of bolt on to that, the upfront forecast to be down pretty significantly around $7 billion or so. Just curious what you're hearing from your advertising partners in any sense of the benefits you might see in the back-half? And just generally speaking, how you are thinking about that opportunity? Thank you.
Anthony Wood: Scott will take that.
Scott Rosenberg: Hey, Ralph. Two points here, I'll just talk about the kind of larger market backdrop, platform revenues grew 46%. Video ad impressions were up 50%. We had strong client retention, strong new client acquisition. We're making good progress on new verticals, performance driven campaigns. This is against the backdrop of when your TV declining 15% to 25%, depending on which TV networks earnings you were listening to this week. So, it's a challenging TV market overall. But I think our growth, both in terms of monetization as well as viewership into OTT highlights the shift in ad dollars that's occurring at linear television into OTT. I think we're well-positioned through the end of the year. It is an uncertain market, as you point out upfronts are in a bit of disarray in terms of the timing and when the dollars will get committed. But we think we're well-positioned with our offer into the market in terms of the strength and growth of our audience, our ad capabilities, OneView, things like the Kroger partnership and we'll continue to capture share through the end of the year.
Anthony Wood: This is Anthony. I'd just add, in terms of our ad business, I think that a key thing to think about is that we're growing, our ad business is growing strongly in what's a down market for the advertising business. And also, if you just think about the fact that all television is going to stream that of course, news, all TV ads are stream, all the advertising is going to switch to OTT for video. And we're just still in the very early days of that. It's the huge opportunity ahead of us.
Ralph Schackart: Great. Thanks, Anthony and Scott. And Steve, good to hear you sticking around.
Operator: Thank you. Our next question or comment comes from the line of Shyam Patel from Susquehanna. Your line is open.
Unidentified Analyst: Hey, guys, it's Ryan on Shyam. So first could you talk about international a little bit? Just how you gained traction there? And if the pandemic is driving count internationally like it is domestically? And then secondly, you recently added a bunch of channels to the Roku channel. Have those driven more interest there? And are there any other kind of key initiative to call out on the Roku channel? Thanks.
Anthony Wood: This is Anthony, let me take the international question and then maybe Scott can talk about TRC. So, the international generally is going great. We're making good progress. The position we built in the U.S., the advantages, the technology and the skills we built in the U.S. is working for us internationally. It's a huge market, internationally. It's a billion broadband households. They will all be streaming eventually. And we're seeing good progress. So, for example, in Canada and the UK, in the quarter player sales doubled year-over-year. TV sales are strong in Canada. Roku TV sales, one in four smart TVs build in Canada. Our Roku TVs -- Mexico, we're making great progress. We announced TV partnership with Sharp today. And so we have a total of six OEM partners in Mexico now. Brazil, we started shipping Roku TV models recently with AFC, a local TV manufacturer that's off to a great start. And we also recently expanded our relationship with TCL to include more geographies around the world. So, international is going good in terms of -- versus the U.S. I mean, international active account growth is stronger than it is in the U.S. because the U.S. is a more mature market. And then on, I think the TRC question, Scott, did you want to take that or?
Scott Rosenberg: Yes. Hey, Ryan. Two points on TRC. One is the service continues to grow very significantly more than doubling reach year-over-year, reaching active accounts with 43 million households in the quarter. We added a live EPG, a grid like experience in the quarter added 30 new linear services for a total of 100. And that's just an example of how we're expanding the content offering in order to broaden the reach, despite the users who find something interesting in their Roku channel and deepen the engagement. But TRC is not just an app, it's an integral part of our platform, and one of the key ways that content partners are starting to publish content into OTT. For many partners, it is a source of similar or greater audience than they can achieve in a standalone D2C experience. It's not mutually exclusive with doing a D2C experience, but it does bring to bear personalization, data, marketing, faster content, on-boarding, monetization help that content partner doesn't necessarily get in, if they're going it alone in the D2C experience. So, TRC has grown very significantly, not just in terms of consumer engagement, but the set of content partners who are looking to TRC to substantially grow their OTT audience.
Anthony Wood: And that growth has been driven not just by advertising supported content, but also subscription content as well. We've had very strong SVOD growth with Roku premium channel recently as well.
Unidentified Analyst: Great, thanks.
Operator: Thank you. Our next question or comment comes from the line of Jason Helfstein from Oppenheimer. Your line is open.
Jason Helfstein: Thanks. Steve, glad to see sticking around. Two questions. One, can you talk a bit about more of the factors that weighed on platform gross profit margin, when you think about it on a year-over-year basis, including dataxu? I mean, in the release, you mentioned content distribution being stronger, and monetized video ad impression, but just any other color and if there was any other benefits that you saw high margin kind of revenue streams a year ago that were weaker or this year? And then just secondly, you did say in the release, that you intend to expand your partnership with TCL beyond North America to include international markets, if there's any other color you can provide there, if there is any economic change to that relationship?
Anthony Wood: Steve can take the first part of your question and I can -- I'll talk about TCL.
Steve Louden: Yes. Hey, Jason. Thanks for the shout out. I appreciate it. In terms of platform margin, for the segment overall, we ended up at 56.6%, which was very similar to where we were last quarter. You're right, we did note a strong content distribution performance in the quarter. And that tends to have higher margin profile in terms of the SVOD and TVOD rev shares that we have. We also noted, strong premium subscription performance, which, if you remember is on a gross revenue treatment basis. And so that is good for revenue dollars and gross profit dollars. And I'm happy about the progress there within the Roku channel for premium subscriptions, but on the margin basis, that's at a relatively low margin. So, that was one of the other factors. And then in terms of the ad business, certainly there's some different factors in there. There was kind of a similar gross versus net phenomenon in terms of the mix, similar to last quarter within the ad platform basis, which is the dataxu's this side of things, and then the kind of traditional Roku business was similar to last quarter in terms of the margin. And then on TCL, I have few comments. We have a strong relationship with TCL. They're a good partner. We just expanded our current relationship to move to more countries. We recently announced the co-project with them to create an 8K Roku TV. So that's been a long-standing relationship and is continuing to be a very strong and good relationship for us. But in terms of Roku TV, we have many Roku TV partners. TCL is probably the biggest, but we also have some other large and growing partners as well. So for example, Hisense and Walmart's house brand on both had strong growth in the quarter, taking a lot of market share, so we're seeing a lot of growth there. And then, I mentioned internationally markets like Brazil with AOC, adding Sharp in Mexico. So, it's a broad array of partners that participate in the Roku TV program that brings them a lot of value in terms of allowing them to grow their market share, deliver an excellent solution for customers at the lowest possible price points with the most amount of content. So, Roku TV continues to be a great program for us.
Jason Helfstein: Okay, thank you.
Operator: Thank you. Our next question or comment comes from the line of Tim Nolan from Macquarie. Your line is open.
Tim Nolan: Hi, everyone. Thanks very much. I'd like to come back to dataxu. I think one of the many reasons that you liked and acquired this asset was its people and its technology. And it always struck me as ironic that in your business a lot of your ad sales is done sort of kind of an old-fashioned way, if I can say that not necessarily to real time bidding, which I know is very, very small in connected TV in general. I just wonder if you could address maybe some of the progress you may have been making. And how the connected TV ad process in general can become a more automated process using more real time bidding? Thanks.
Anthony Wood: Scott take that.
Tim Nolan: Hey, Tim. Great question. Look, the bottom line is we're here to sell how that buyers want to buy. And most of the budgets coming into CPV are coming out of television. And they're still bought in the old-fashioned way or however you positioned it. So it's important to be able to sell that way. And there's a tremendous amount of scale and efficiency that actually comes from selling that way. But also many of the benefits of data and targeting and measurement and optimization are really only available to you when you have machine help you do it. Ultimately, if you're going to work with a marketer to suss out the audience and optimize to site visit or product purchase, you need machines in the mix. And that's a big part of what we're doing with the OneView asset and our ad product roadmap is laying the rails, so to speak to give marketers that level of automation and optimization that we know that they need and want ultimately. There's also a whole class of advertisers. Of course, you have grown up primarily in highly automated machine-driven ad buying, especially marketers that invest in social media. We highlighted in the shareholder letter significant growth out of our performance segment performance advertising segment, which is B2C brands, CR brands. Brands have spent a lot of money in social media because of the high ROI. This segment was up 346% year-over-year. And that itself reflects ultimately the power of being able to sale in programmatic machine-driven winning. So, the answer is both. We need both to play in both fields, but we're investing very heavily in enabling these more advanced ways of trading and optimizing marketing.
Tim Nolan: Thanks. And I would assume this would be a positive for your ad revenue growth in general, as the ecosystem evolves toward you. Would there also be cost efficiencies and doing this in a more automated way?
Anthony Wood: For sure. And also, as I mentioned earlier, there are some tasks that just can't be done with you. If you're trying to use machine learning to find the audiences that really deliver a marketer's ROI, you really need machines to help you do that. And so that's why our investments in ML and optimization in our ads back are so important, so that we can deliver those outcomes that marketers are keeping.
Tim Nolan: Great. Thanks, Scott.
Operator: Thank you. Our next question or comment comes from the line of Michael Morris from Guggenheim. Your line is open.
Michael Morris: Thank you. Good afternoon. I have one question on OEM partnerships and then one on performance advertising. On the OEM partnerships, we get asked this question a lot. I want to present it to you. Do you have revenue share relationships with those OEM partners, where you are compensating them on a variable basis, based on the revenue that you generate on the platform, therefore, you have a rev share and you have a payout to them? Is that in your OEM relationships, any of them all of them or not? And then second, on the performance advertising side. There's clearly a lot of enthusiasm for this format in general, especially on social media platforms, where sort of makes more intuitive sense in a feed to stop on an ad perhaps. It seems a bit more complicated on TV in terms of disrupting the experience. I'm curious how you make that a great experience for the consumer? How it adds value? And what steps you're taking to get traction there? Thanks.
Anthony Wood: Let me talk for a second about the Roku TV, and then Scott can take the second part of your question about performance advertising. So just in general, the Roku TV program has been very successful for us, as I mentioned before. It continues to be successful. It brings a wide range of value to a TV company in terms of the partnership. For example, with our purpose-built operating system, the only purpose-built operating system for streaming one of the things that we've optimized around is the cost to build a TV and so it costs less to build Roku TVs than all of the other competitive options they have available. So that's one way, for example, we deliver a lot of value to them. We also have a lot of passion from our customer's strong consumer demand low return. And we really help them both on engineering and on factory support. So there's a lot of ways we add value. We don't talk about our specific business model. In the past, we said that rev shares is not part of our business model, but we don't talk about our business model generally. And it's been very successful, a third of the TVs sold in the U.S. are Roku TVs now. We're seeing Roku TVs continue to sell well, I mean, in that we have an outstanding order in terms of active accounts. And a lot of those -- a very strong part of those active accounts came from the Roku TV program. So it continues to be a big success for us. And then Scott your question.
Scott Rosenberg: Yes. And Michael on your question about performance advertising, I think one of the things you're getting at is, of course, television advertising is still a heavy branding medium. You got that 15 or 32nd spot and a chance to really influence how a consumer thinks about your brand. And that's one of the great and most powerful things about OTT about connected TV advertising is the opportunity to blend that brand impact together with data and targeting and measurement. So, I think really the way this plays out is that OTT can be both a top funnel, powerful branding medium that competes headlong with traditional television, because it's got that play sound emotion of TV advertising, but also can compete with more performance driven media like social media, because it's got data and optimization to bear on the problem. So that's one of the reasons we're seeing good strength there. Does it change up you know how an advertiser approaches the creative, it's not a matter of like adding a few pieces of techs in one graphic. You've got to produce a video. But even there, we're leaning in as a company to help brands quickly produce a video creative, so they can participate. So overall, it's an exciting new segment for us. And as I mentioned earlier in the call, it's a way to expand the set of clients that we're able to work with.
Michael Morris: That's helpful. Thank you, both.
Operator: Our next question or comment comes from the line of Mark Zgutowicz from Rosenblatt Securities. Your line is open.
Mark Zgutowicz: Well, thank you very much. Scott, maybe just to follow-up on that last point you made. I'm just curious if you think maybe looking at this linear topic a little differently. How would you -- what would you characterize as a tipping point? And I mean, it was helpful. This is how you characterize it in terms of -- and you offer both top of funnel and bottom funnel. But where's the tipping point here? Obviously, sports linear or sports picture looks more and more dire every day as we look forward. Obviously, those dollars need to go somewhere. So I'm just kind of curious how you see it flowing in? Maybe you can talk about where your dialogues are with some media buyers, where they may be perhaps behind or past the learning curve in terms of getting just to the table, talking about CTV versus those that's still -- is still kind of a pull to get them to sit down with you at the table. Thank you.
Anthony Wood: Yes, great question. Well, despite what Malcolm Gladwell would tell you, tipping points are always easiest to observe and retrospect. But our view is that the tipping point is here and that COVID ultimately has pulled forward a bunch of cord cutting that was going to happen anyway. I mean, linear television was already experiencing double digit ratings declines year-over-year. We see that in most TV networks, their ad sales are down significantly. The spending was already significantly disproportionate to the audiences that have already left linear television. And so, our view is that the tipping point here, it's driven by cord cutting. And the pandemic has really forced marketers to come to grips with something that was coming anyway, which is that there's been a significant departure of audience out of linear television and it's not coming back. Roku ran a streaming study last quarter and found that of consumers who cut the cord, only one in five actually intend to go back to a traditional pay TV package. And if they go back, they're going to go to a virtual MVPD service. So, our view is that the movements afoot, certainly with consumers and marketers are following and that the pandemic has really just helped accelerate that reckoning.
Mark Zgutowicz: Okay, thanks, guys. Just maybe an unrelated follow-up. As it relates to the Campbell's partnership with your Kroger, is there anything you could talk about yet in terms of metrics, ROI metrics. Or how early are we there? And sort of what does that that funnel look like? Do you have a specific team that is sort of on boarding, CPG, other partnerships there would be helpful? Thanks.
Scott Rosenberg: Yes, it is early in the partnership. We've had a team for a long time that's focused on CPG as well as our DSP. And the Kroger partnership plays to the existing business we do and our technology capabilities. But we need partners like Kroger who've got unique data assets to pull off some of these optimizations. We're very excited about the partnership that it's indicative of what's possible. And you've gotten ad scale, OTT platform with first party consumer identity info and a great partner like Kroger. So it's still early, but we are excited about the partnership and bullish about the long-term proceeds of it.
Mark Zgutowicz: Okay. Thanks so much. I appreciate it.
Operator: Thank you. Our next question or comment comes from the line of Michael Nathanson from MoffettNathanson. Your line is open.
Michael Nathanson: Thank you. I have two questions, I guess one first for Scott and one for Anthony. Scott, so when we were doing our research on this opportunity, we talked to a lot of traditional TV buyers. And the feedback we got about Roku is consistent, which is we'd like to have more transparency about where the inventory is running. So can I ask you what are the gating factors to maybe opening up their transparency, letting the buyers see where their inventory is running? And when can that possibly change? And Anthony, the question we get a lot is Android TV and Google moving into this space. You did a deal with one of your partners. What do you think is the long-term impact of them getting into connected TVs? How can that change the dynamics in this market globally in the next couple of years?
Anthony Wood: Sure. Scott, do you want to start?
Scott Rosenberg: Yes, Mike, I’ll take the first part of your question. The constraint on unfolding fully where ads ran usually actually comes from our publishers, who are sensitive to channel conflict. Although, I will say that there are tons and tons of data and insights that we breakout and ultimately for a market what they care about is performance and results. One thing I’ll also highlight is that with OneView it’s a chance for a marketer to leverage all the Roku identity and data assets that we have, while still trading directly with the publisher. And so, certainly it is the driving strategy for us behind the OneView dataxu acquisition, but having that asset, having that ability to trade with marketers and give them the ability to leverage our data, while trading with all the other folks that they trade with, in the media space and in OTT enables them to have that transparency, while still taking advantage of Roku's unique capabilities.
Anthony Wood: In terms of competition, I guess I'd say this is a competitive industry. We've been competing very successfully with large companies for the entire life of the company. I think a lot of people don't remember but actually, I mean, you mentioned Android TV, Google TV was actually the first platform to ship as a licensed platform for TVs that ship well before Roku TV as the program came into being. And yet now Roku TV is by far the number one streaming platform in the United States. And it's because we are just -- well, first of all the foundation is that we built a purpose-built operating system for TV, whereas they're using Android, which is designed primarily for phones and imported TV. And that just offers lots of fundamental intrinsic advantages, including a better cost structure, a better user experience, great return. And the result of that has been, -- the Roku has become a very strong brand for streaming. We're the number one streaming platform in the country in the United States. We also offer a full line up of products. We have a variety of players, different price points, a variety of TV partners, a variety of TV capabilities, and even whole home product. We have almost probably over 1,000 engineers that are, I believe the best engineers in the business of streaming business focused every day on building the best streaming products. So we've been competing for a long time. We compete successfully. We're growing market share. We're number one in the U.S. and we're making great progress internationally as we enter new countries as well. I'm very confident in our ability to compete.
Operator: Thank you. Our next question or comment comes from the line of David Beckel from Berenberg Capital. Your line is open.
David Beckel: Hey, thanks so much for the question. I have two actually. So the first would be on monetizable impressions delivered growth of over 50%, which is obviously an incredible pace, but if memory serves, quite a bit slower than prior quarters. So I'm wondering is that more a function of ad supply or overall demand? That is, were monetizable ad viewing hours, did they also decelerate meaningfully? And why would that be the case? And the second question is just about -- thinking about the big picture advertising opportunity. You often talked about the switch or the shift in ad dollars from linear TV to digital TV. But with things like performance marketing and enhanced data capabilities, should we also be thinking about a bigger pie that also includes many forms of digital advertising today?
Anthony Wood: Scott will take that.
Scott Rosenberg: Hey, David. The growth of 50%, which we're very pleased with and considering what's happening in the broader market is absolutely a function of demand. We did see an AVOD consumption, along with SVOD and TVOD consumption really surge in the quarter during shelter at home policies. So this is a function of demand. As I've mentioned earlier, we remain bullish on the market's continued recovery and our ability to continue capturing and increased share of the market as marketers redeploy their TV budgets. In terms of your second question. Yes, we do focus heavily on TV ad budgets because that is a very large pocket of marketer and CMO investment that is going to get redeployed in the coming years. And it's a set of budgets that we think we're uniquely situated to compete for. But it is also reality. As you allude to that the capabilities of our ad platform are also attractive to a broader class of advertisers, who are interested in optimizing to the bottom funnel effects, things that they really actually can't do in linear television. It's just not possible as a B2C Harry Shave Club type brand. If your sole KPI, I'm making this up by the way, I can't speak to them and their strategy specifically. But if your sole KPI is sale of a product is very hard to get linear television to do that for you, whereas OTTs has all the capabilities of highly measurable, high ROI digital platform like you might see in social media.
Anthony Wood: And the key takeaway for me during the quarter was just how strong of a growth we had in our ad business and the TV market -- ad market is down, down quite a bit.
David Beckel: Great, thank you.
Operator: Thank you. [Operator instructions] Our next question or comment comes from the line of Alan Gould from Loop Capital. Your line is open.
Alan Gould: Thanks for taking the question. I've got the two. First for Scott, I think that's the first time I've seen you mentioned social media in your shareholder letter. How big is social media? I assume it's tiny. What's the opportunity there? And now that we're into August, how much did you benefit from the Facebook boycott? And then secondly, for Anthony, when you look at the traditional media companies, they seem to be finally coming around. Viacom will be talking about Pluto tomorrow and Fox is talking about Tubi and NBCU has its Comcast -- has its Peacock and its flex devices. How is the competitive environment changing now that traditional media guys are at least getting somewhere into streaming?
Scott Rosenberg: Hey, Alan, I'll take your first part of your question. In referencing social media, really, my main intent here is just to highlight that many of the same capabilities and criteria that performance marketers look for and get in social media are available in OTT. I was trying to put too fine a point specifically on social media, and we're certainly not -- I would not characterize Roku as a social media platform. But the capabilities that we're building are very attractive to performance advertisers, which is why we've seen such strong growth out of that category. This is a class advertiser whose main KPIs is visiting a site and buying a product and that's a core capability of OTT. I can't comment on the Facebook boycott, in terms of like whether it's had a real effect on them. But certainly we've seen lots of interest from advertisers who today spend the majority of their budgets in social media.
Anthony Wood: In terms of competition, I talked about device competition, and how we're competing extremely effectively there. In terms of media companies, I mean, those companies are not our competitors. They're our partners. We're a content distribution platform. We offer a variety of ways to distribute content over the top in the streaming world. One way is they can publish apps on our platform, and most of them do, and in most cases, we're probably their largest platform for streaming hours. We have a lot of tools built into our platform that we built from the beginning to allow and to make it possible for content publishers to attract and build audiences. We have lots of tools around tune-in promotions for content companies, content publishers. One of our roles in the world is we are the glue that connects the ecosystem together. We aggregate very large bases of customers. We connect them with companies that want to stream customers to those stream content to those customers. And they can do it a variety of ways, they can do app, so we talked about that. But they can also publish content directly in the Roku channel, where we handle all the heavy lifting of getting customers interested in doing the content, that is subscription content, handling all the payments systems. For example, Roku Pay our billing system, in the quarter, we more than doubled the amount we build year-over-year. There's a lot of customers take advantage of our tools that we've integrated into our platform. So, customers can publish apps, they can distribute content to the Roku channel. So, it's their option on how they want to approach it, and we have a lot of partners that do both, they have an app and they distribute content through the Roku channel. And they can be very effective doing that. So, they're definitely not competitors. They are our most important, one of our most important partners in our content company.
Operator: Thank you. Our next question or comment comes from the line of Ben Swinburne from Morgan Stanley. Your line is open.
Ben Swinburne: Thanks. Good afternoon. I have two questions. Scott, I think to sticking with the Roku channel, I think it's what maybe 18 months old, something like that. Can you give us a sense for sort of where that product is relative to your expectations? Where it goes from here? And any kind of engagement statistics you can share? I know the reach numbers you've provided. And I'm just wondering if you could share a bit more about the evolution of that offering? And what it does for the business over the next several years? And then I don't know if this is for Steve, but, through earnings, we've sort of heard from most companies in the advertising space that the second quarter was sort of the trough. It's odd to call 50% growth a trough. I think you know what I'm referring to. I'm just wondering if you think that in the third quarter, we'll see an acceleration in your ad business versus the Q2 growth? Or if you're willing to comment at all about what you're seeing near-term. Thanks, guys.
Anthony Wood: Scott will take that.
Scott Rosenberg: Hey, Ben. On your first question about the Roku channel, I think we're actually coming up on three years. We launched it in September maybe '18 actually. So, yes, the growth continues to be really exceptional. And to beat our expectations, it's a function of the broadening of array of content that we put into it. Our investment in the user experience with the launch of our EPG with live linear channels, and it's what's allowed us to double reach year-over-year and reach active accounts with about 43 million people in them. So, we are both broadening our reach, which is important as an ad offering that we help advertisers get in front of a larger and larger share of their user base. But as we add more varied content, we're deepening our engagement with our user base. And then of course, we're taking TRC international, in Canada and UK. And it's a pretty essential part of our platform and our approach to both engaging consumers as well as providing content providers with a new path to publishing OTT. Steve, do you want to take the second question?
Anthony Wood: Hi, Ben. Actually let me just add a couple of points on the Roku channel, and of course, Steve kind of takes the second question. I think it's important to recognize that the Roku channel is an important part of our strategy. We think that having the capability for a content owner or content publisher to decide whether they want to write an app and the heavy lifting that's associated with that, or have a full service to one stop publishing solution for their content. Having both of those options is very important. And, we're experts to both, and we've been building a lot of capabilities into the Roku channel, everything from machine learning recommendations to building systems to different business models, whether it's a subscription or AVOD. And we're also integrating it to key points into the platform. So we'll continue to do that. And, my belief is that the Roku channel will continue to become to be an important part of our distribution mix, and probably a larger part of the mix over time. It's very difficult for any company to replicate, especially a content company. There's a ton of engineering that goes into the Roku channel. Steve, do you want to talk about the second part?
Steve Louden: Yes. Hey, Ben, just on your second question. I think, first, I mean, we're really pleased with the strong second quarter and I think we're cautiously optimistic. We mentioned some continued strength on the account side in the player and TV sales side and that the engagement levels are still above pre-COVID. I think for us and certainly the relative continue growth of the business, albeit lower than what we would have expected pre-COVID has been significantly better than the overall market. I think the trick for us and the reason we haven't provided formal guidance for Q3 and Q4 is just, while we have a lot of positive trends and we think we're relatively well positioned and resilient in the face of a lot of these headwinds is that, because you have these other factors in terms of the holiday season, how advertisers relate to continue economic uncertainty if the world goes into lockdown. So I think the short-term, we feel pretty good about where we sit. I think this the part that we have less visibility and less control into these potential broader shocks out there. And that's really what we're monitoring.
Ben Swinburne: Understand. Thank you, both.
Operator: Thank you. We have time for one final question, our final question or comment comes from the line of Richard Greenfield from LightShed Partners. Your line is open.
Richard Greenfield: Thanks for taking the question. A couple of topics. First, Disney is clearly signaling that they agree with you in terms of the global shift to IP based TV with what they're doing with the launch of Star, and the continued rollout of Disney Plus. You sort of talked about the faster growth of your overseas business, but, is there any way you can frame like, -- are we at the point now where 10% of your active accounts are international? What's the ARPU look like of international versus domestic? And is engagement meaning streaming hours per user? How does it compare overseas to the U.S. given obviously fewer services overseas? Just any way of framing it and then I have a follow-up on TVOD.
Anthony Wood: Sure. So, in terms of international, obviously, that's a big investment area for us. It's an important part of our business. We haven't broken out the numbers. I would say that the different countries are in different phases. I mean, if you think about kind of the phases of our business model, the first phase is really just focused on building active accounts. And there's countries where that that's our focus. We're just focused on building active accounts. Then there's the phase where we shift from building active accounts and engagement to monetization, and there's countries where we're starting to do that. Like we've launched the Roku channel in Canada and the UK, for example, which is primarily about monetization. So overall, I think the way I think about it is that there's a lot more people outside of the United States and inside the United States, and so it's a bigger market overall. But the U.S. has a very high GDP, so the ARPU is probably going to be lower internationally. But in any case, it's still a huge, huge market and we're making good progress.
Richard Greenfield: Okay. And then the second question is, when I think about TVOD, obviously what happened with Mulan is front and center. And a lot of people are thinking about what it means. And I think in your press release, you even talked about trolls and scooped in the quarter being meaningful for you on the movie front. With Mulan showing up inside the Disney+ app, I'm just wondering if a consumer comes into a Roku device where they bought or signed up for Disney+ inside of Roku. Do you get any benefit from that? Meaning is there any ability for you to generate or participate in the economics of that type of TVOD transaction? Or is that purely Disney, if they signed up on a Roku device?
Anthony Wood: Well, first, we don't get into the specifics of any deal, but we said and it's still true that generally, for TVOD transactions anywhere on our platform, we get a rev share and we get a piece of the transaction. That's still very true. Sorry, go ahead.
Scott Rosenberg: Yes. I was just going to say I mean; I think it's a huge win for consumers for Roku for Disney to see the sort of loosening up here of the theatrical windows. Obviously, it's of necessity, people aren't going to theaters right now. But I think it's also just a broader signal that big players like Disney are going to exercise these windows more aggressively. And the consumer is the winner here, as is Roku, as is Disney. Optionality is awesome for the consumer and I think it's a sign of even more interesting things to come.
Richard Greenfield: Do you think you're getting an opportunity to sell that as well? Meaning like, do you think it's only going to be inside of Disney+? Or do you think Roku will get a chance to sell directly some of those titles as well?
Anthony Wood: Well, without, again, not talking a specific deal, but that is one of the primary things we do is help our content partners merchandise content across our platform. That's one of our -- that's a super important part of our business model. And I couldn't agree more with Scott that it's incredible to think that a TVOD title would be released direct to video, direct to streaming. It just shows how far the industry's come from when we started. When we started the only partner, we had was Netflix. And big media companies didn't even believe that the world has switched to streaming. It was kind of weird and that's changed. The world is all in on streaming now.
Richard Greenfield: Thank you very much. That's helpful.
Operator: Thank you. I'd now like to turn the call back over to Mr. Anthony Wood for any closing remarks.
Anthony Wood: Thank you, operator. We had a strong quarter with exceptional active account growth that increased platform scale. Despite the many challenges caused by the COVID-19 pandemic, Roku is executing well, attracting outstanding talent and becoming stronger in fundamental ways. I believe that the streaming decade has begun with a period of fundamental reassessment. Major content owners are going all in on streaming. Advertisers are shifting budgets to OTT. TV OEMs are licensing operating systems like ours on a global scale, and platforms focused on meeting consumer needs are thriving. Thank you again for your support, and happy streaming.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day. Stay safe.